Operator: Good morning, ladies and gentlemen. Thank you for participating in the MAA first quarter 2014 earnings conference call. At this time, we would like to turn the conference over to Tim Argo, Senior Vice President of Finance. Mr. Argo, you may begin, sir.
Tim Argo: Thank you, Keith. Good morning. This is Tim Argo, SVP of Finance for MAA. With me are Eric Bolton, our CEO, Al Campbell, our CFO and Tom Grimes, our COO. Before we begin with our prepared comments this morning, I want to point out, that as part of the discussion, company management will be making forward-looking statements. Forward looking statements are made based on current expectations, assumptions and beliefs, as well as information available to us at this time. Actual results may differ materially from our projections. We encourage you to refer to the Safe Harbor language included in yesterday's press release and our 34-Act filings with the SEC which describe risk factors that may impact future results. These reports, along with a copy of today's prepared comments and an audio copy of this morning's call will be available on our website. We undertake no obligation to update any information discussed on this conference call. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations to comparable GAAP measures can be found in our earnings release and supplemental financial data. I will now turn the call over to Eric.
Eric Bolton: Thanks, Tim, and good morning, everyone. First quarter results were ahead of the midpoint of our guidance as operating performance came in a little better than we expected and G&A costs were lower. As outlined in our earnings release, given the better than expected Q1 result, we have increased our forecast of core FFO and AFFO performance for the year. During the quarter, we captured steady growth in effective rent per unit, increasing 3.2% across the combined same store portfolio when compared to the prior year, which is consistent with the preceding fourth quarter's performance. Our large market segment of the portfolio continues to out-perform at this point in the cycle capturing 4.0% growth in effective rent per unit. Our strongest performances in rent growth came from Houston, Austin and Atlanta. Rent growth in Memphis, Little Rock and Huntsville lagged within our secondary markets and weighed on revenue performance for that segment of the portfolio. Physical occupancy at quarter-end was a solid 95.5%, a 50 basis point decrease from the 96% posted at the same time last year. Resident turnover declined 7% during the quarter when compared to last year and remains low at 56.8% on a rolling 12-month basis. During the quarter, move-outs to buy a house declined by a significant 16% from prior year and constituted 18% of our total turnover. As we head into the spring leasing season, rent growth is increasing and we are encouraged with the trends. During April, rents for new move-in residents increased by an average of 3.1% on a year-over-year basis and lease renewals for renewing residents increased 7.1%. As Al will touch on, our largest line item expense pressure in operating expenses was property taxes, up 9.8% in Q1. While still early, we continue to believe that real estate taxes will increase in the range of 6% to 7% for the year. Based on first quarter trends and our outlook for the rest of the year, we remain comfortable with our earlier guidance calling for combined same store NOI growth in the 4% to 5% range for all of 2014. During the quarter construction wrapped up on our Randall Lakes property in Orlando with pre-leased occupancy currently standing at 55%. We expect to stabilize occupancy here in the first quarter of next year. We expect to wrap up construction on two other projects this quarter, our Lake Mary property expansion in Orlando and the South End property in Charlotte. Leasing continues to go well and in line with our forecasts at both properties. Of the 2,200 units we currently have under development or lease-up, we expect to have 2,000 of these units productive by year end and fully contributing to core FFO growth in 2015. The transaction market remains very competitive with the only acquisition completed during the quarter associated with our planned buy-out of the joint venture we had in place. We have two properties remaining in our JV and we expect to close on the acquisition of one of these properties this second quarter and we are currently under contract to sell the other property. During the quarter we closed on the disposition of one other apartment property and are currently marketing for sale another eight properties, including the JV asset just mentioned. We are finding a high level of interest and continue to feel good about achieving our planned dispositions in the range of $125 million to $175 million. In addition to these apartment property dispositions, as previously outlined, we are proceeding with the disposition of the remaining commercial properties acquired in our merger with Colonial. We made good progress in the first quarter with commercial properties now constituting less than 1% of our total gross assets. We are actively working on several other transactions and expect to be largely complete with this effort by year end. Our management team continues to make terrific progress in completing the remaining integration activities surrounding our merger with Colonial. We expect to have the property management software integration complete in the next month. Accounts payable, financial reporting, payroll and all the other key system consolidation activities have been completed. Our team has worked hard to complete these integration efforts before we get to the busy summer leasing season and they have done a terrific job. I really appreciate all the hard work. I am confident that we are now well positioned to begin executing on the various opportunities that we have previously identified surrounding our merger and look forward to capturing more efficiency and enhanced margins over the next several quarters. That's all I have in the way of prepared comments and will now turn the call over to Al.
Al Campbell: Okay. Thank you, Eric, and good morning everyone. I will provide some additional commentary on the company's first quarter earnings performance, some balance sheet activity for the quarter and finally on updated earnings guidance for the year. FFO for the quarter was $97.4 million, or $1.23 per share. Core FFO, which excludes non-routine items, primarily merger & integration costs, was $95.6 million or $1.21 per share, which was $0.03 per share above the midpoint of guidance provided. About half of the favorable performance compared to our forecast came from property operating results, as both the same store and the non-same store portfolios slightly outperformed. The remaining favorability came from lower than projected G&A costs, as bonuses, health insurance and professional fees were all below projections for the quarter. The combined same store portfolio NOI grew 2.6% for the quarter, based on 3.1% growth in revenues, which was produced by the 3.2% growth in effective rents. Property operating expenses increased 3.9% for the quarter with over two-thirds of this increase coming from real estate taxes which grew 9.8% over the prior year. Our forecast, as Eric mentioned, for real estate tax expense growth for the full year remains at 6% to 7%, with the first quarter comparison impacted by prior year credits and the timing of accrual adjustments during the prior year. During the first quarter, we acquired the remaining two-thirds interest in two communities from Mid-America Multifamily Fund II, our legacy MAA joint venture, for $38.8 million and we assumed loans totaling $31.7 million. We also closed on the sale of one multifamily community located in Columbus, Georgia, for gross proceeds of $10.6 million, which produced a gain of $5.5 million recorded during the first quarter. As mentioned in the release, during the first quarter, we sold two operating commercial assets acquired with the Colonial merger, Brookwood Village Mall and CC Brookwood Village, an office asset, for a combined $80 million in gross proceeds. Also, during the first quarter, we sold five commercial land parcels acquired with the Colonial merger for combined gross proceeds of about $3.3 million. The company recorded total gains of $3.1 million during the first quarter related to the sale of these commercial and non-core assets we acquired from Colonial. Construction and lease-up of our development pipeline continued to progress well. We funded an additional $16 million of development costs during the first quarter and fully completed one community, Randal Lakes, in Orlando, Florida. We now have four communities, totaling 999 units, under construction, with $47.3 million of projected funding remaining to complete this development. We also had four communities in lease-up at the end of the quarter with an average occupancy of 66%. Three of the remaining lease-up communities and two of the development communities are now expected to stabilize during 2014 with the remaining communities in lease-up and construction expected to stabilize in 2015. Our balance sheet remains in great position. At the end of the first quarter, company leverage, based on market cap, was 39% and based on gross assets, was 41.8%, which is 190 basis points below the prior year. And perhaps more important is that at quarter-end, total debt was only 6.2 times recurring EBITDA and our fixed charge coverage ratio was 3.6 times, both comparing well to the multifamily peer group. At the end of the quarter, 97% of our debt was fixed or hedged against rising interest rates for an average of about four years. Since year-end, we have executed $250 million of interest rate swaps to effectively lock a portion of the interest rate on future financing transactions, which we expect to further increase the duration of our interest rate protection. At quarter end, MAA's unencumbered asset pool was 63.9% of gross assets, and we had about $618 million of cash and credit available under our unsecured line of credit. Finally, based on first quarter performance, we are increasing our core FFO guidance for the full year by $0.04 per share at the midpoint. We now project core FFO to be between $4.84 and $5.04 for the year. Quarterly core FFO per share is expected to be $1.15 to $1.27 for the second quarter, $1.19 to $1.31 for the third quarter and $1.21 to $1.33 for the fourth quarter. Core AFFO for the full year is now expected to be $4.09 to $4.29 per share, which represents about a 70% dividend payout at the midpoint. That's all we have in the way of prepared comments. So, Keith, I will turn the call over to you for questions.
Operator: (Operator Instructions). We will take our first question from David Toti with Cantor Fitzgerald. Please go ahead. Your line is open.
David Toti - Cantor Fitzgerald: Hi, guys. Good morning.
Eric Bolton: Good morning, David.
David Toti - Cantor Fitzgerald: Just a couple of small questions. First, what's left on the Colonial integration in terms of, I guess in two dimensions, one, internal systems and operations and staffing, and two, costs?
Tom Grimes: Hi, David, it's Tom. Really, the large thing on systems is the conversion of legacy CLP communities over to the Yardi system. That is largely done. We have four of our five operating divisions converted and the fifth one tees up for us in May. And so we will be all on one system starting June 1. And then on the people side of it, we have really overhauled the commission structure, the pay structures and largely we are in good shape there. No other changes coming.
Al Campbell: I will just following him quickly on the costs. As you saw in the release, we estimate about $9 million to 10 million remaining for the full year. First quarter, we had about $6 million of that, and we still feel like that $9 million to $10 million is a good range for the year. We will probably end up at the top end of that. Probably more weighted toward remaining integration costs.
David Toti - Cantor Fitzgerald: Okay, and then my second question has to do with revenue growth in aggregate in the secondary markets in the quarter, 1.9%. It was probably a little bit more muted than I would have expected at this point in the cycle for those types of markets. What are your thoughts around the dynamics of that growth rate? What you are seeing in the revenue management system relative to occupancy balance? What's really behind that 1.9% number in your mind?
Tom Grimes: David, I think it is, at this point in the cycle, though, larger markets tend to be more affected by supply and the secondary markets more by jobs creation. We think 2014 is going to be a much improved year for jobs improvement. However if you notice, the first quarter numbers, weather both precipitation here and cool in the northern half of our portfolio slowed job growth a little bit. But I think that's the key thing that we need going forward. We are optimistic we will see it later on in 2014.
Eric Bolton: If you look at the ratios of the job growth to supply, the numbers are still pretty compelling for the secondary market segment as a whole. As I mentioned, the segment, frankly, weighted down a little bit by Memphis' performance. Memphis, the market here, just the job market here, just really hasn't shown much recovery but I think that we think as the beginning of the latter part of year, we will see better performance out of Memphis. Columbus, Georgia was another market where we got a large property, a little over 1,000 units there that weighed on performance for that segment. But we think that broadly speaking, we will see some left later this year, but we have always - - this is still what I would consider to be a pretty healthy portion of the cycle for apartment fundamentals in the secondary markets relative to our large markets. We will always continue to struggle, keep up just a little bit but I think we will see that GAAP begin to narrow later this year.
David Toti - Cantor Fitzgerald: Okay, and then just my final question on that theme, Eric, is with regard to Atlanta, which is still posting pretty good numbers despite lots of concerns around supply. Would you say that those markets are benefiting from the strong employment growth still or are there other factors there at work?
Eric Bolton: I think Atlanta's market's land is pretty good just as the job growth there is.
Tom Grimes: However, (inaudible) on jobs there and renewals there are going out. We are getting healthy rent growth rate with renewals at almost 8% and new leases frankly doing a little bit better than that at almost all 11%. So Atlanta, we are pretty optimistic on going forward.
David Toti - Cantor Fitzgerald: Okay. Thanks for the detail.
Operator: Then we will take our next question from Ryan Bennett with Zelman and Associates. Please go ahead.
Ryan Bennett - Zelman and Associates: Hi. Good morning, guys. Just following up on your comments on April's new move-in and renewal trends. I am just curious what you are seeing or what you are sending out on renewals over the next couple of months now?
Eric Bolton: Yes. Sure. Renewals are going out at for April, they went out at 7.4%, May 7.9%, June 8% and July 8.2%.
Ryan Bennett - Zelman and Associates: Got it, and then just digging on the market level and looking at Raleigh in particular here in the quarter, kind of what has been the momentum during the first quarter and into April? What do you expect there in the peak leasing season?
Eric Bolton: Yes. Raleigh is one who had -- you have got to back up to the second half last year, when Raleigh, where they had jobs to completions in 2013 were roughly 3:1 and most of that was backended. So we are working off a little bit of a supply hangover. It improves in this year to more of a 7:1 ratio, which is healthy but we need to work through those. New lease rates are up about 1.2%. But renewals are hanging there at 6%. So I think Raleigh will be under pressure for a little while and work itself out of it later in the year.
Ryan Bennett - Zelman and Associates: Got it. Thanks. And one last question, just on the redevelopment front. Are you guys still on track in terms of the Colonial assets that you had positioned for redevelopment later this year?
Eric Bolton: Yes, absolutely. We are feeling good about that. We have got all the properties scoped. We have got units executed in our markets. We have got an additional, to what was in the release, an additional 400 units in process. This I would really expect to ramp up as we move into the busier summer season where we have more lease expiration sitting and where we are right on target there. Very excited about that.
Ryan Bennett - Zelman and Associates: Okay, great. Thank you, guys.
Operator: And we will take the next question from Paula Poskon with Robert W. Baird. Please go ahead.
Paula Poskon - Robert W. Baird: Thanks. Good morning, everyone.
Eric Bolton: Hi, Paula.
Paula Poskon - Robert W. Baird: I wanted to ask a question about the expected synergies with the CLP integration. Would you say, Eric, that you are realizing those synergies either faster or more strongly than you had anticipated?
Eric Bolton: I wouldn't say it's any faster than what we expected. I will say that we think that the opportunity is bigger than what we initially had thought, particularly as Tom was just alluding to some of the redevelopment opportunity, but we really believe that on the revenue side, some of the opportunities surrounding management of LRO and how we go about that, I think we really need to get into the busy summer leasing season to really begin to see a lot of that benefit come through. And as we get into Q3 and Q4 in particular, that's where we think we will see some opportunities more reflected in the numbers. On the expense side, I think that it's about like we expect a lot of the contracts, a lot of the rework of things that we identified early on have been completed. What we really are shooting to do it get this final step completed with the systems integration which we will wrap up this month. I think from that point just everything becomes a little bit easier from an executions perspective. So we really think that as get in to the good busy summer season in the back after this year, which is what we have always expected, we always expected a bit of a ramp up to take place this year and that certainly continues to be what we are experiencing.
Paula Poskon - Robert W. Baird: Thanks. And any further thoughts about the Vegas portfolio?
Tom Grimes: No, we need to get it a little fuller. To be honest with you, Paula, I think we have got opportunity there. We have got a good team in place but we have got one property that's holding us back a little bit that needs to be addressed.
Eric Bolton: In terms of your questions, broader in terms of our continued desire to stay and so forth. Frankly we are going to just continue to monitor that market this year. We are not of any mind to do anything different. Not looking to add there at this moment, but we certainly like the two assets that we have got. As Tom mentioned, we think that there is an opportunity, from an operating perspective, that we are going to address over the course of this year and we will probably make a decision later this year as to what we want to do there going forward.
Paula Poskon - Robert W. Baird: Great. Thanks. And then just finally, I wanted to dig in a little bit to your comment, Eric, about the move-outs to home ownership dropped significantly. Were the trends there pretty even across your markets? Or were there some markets that really jumped out at you?
Eric Bolton: Paula, it was surprisingly even, frankly I was spending some time reviewing that and it's the same in primary as it is in secondary, or they are large as it is in secondary and there is no one market driving it. It is really across the board in the quarter.
Paula Poskon - Robert W. Baird: Okay. Thanks. That's all I have.
Operator: We will take our next question from Haendel St. Juste with Morgan Stanley. Please go ahead.
Haendel St. Juste - Morgan Stanley: Hi. Good morning out there.
Eric Bolton: Good morning.
Tom Grimes: Hi, Haendel.
Haendel St. Juste - Morgan Stanley: Would you guys talk a bit about the development lease-ups? The projects appear to be leasing up a bit ahead of expectations, which looks like some of the reasons for the upside this quarter. Can you talk a bit about the market demand and also if any concessions are involved?
Eric Bolton: Haendel, I would say, we are on track in aggregate and really right where we want to be as far as pricing goes. I mean we plan for concessions and the markets and we are on target for those pricing goals, just to get us leased up. You may have noticed the Northern Virginia properties, we just pushed back a little bit on the quarter of stabilization by quarter, and the way we look at that is we expect three months over 90 days occupancy to consider it exposed. So honestly if you miss by one day, by one unit, you push back. I don't think there is anything to worry about in that area. We are right on track on that.
Tom Grimes: I would tell you in recap, Fredericksburg is a little sluggish, Charlotte is doing better than we expected, the Orlando properties are right on targets, on balance. It is reconciling to pretty much what we had expected.
Haendel St. Juste - Morgan Stanley: Okay. Thank you for that. Could you also talk a bit more about the eight properties, Eric, you mentioned you are marking them for sale. Are you marking them individually? As a group? Are there any portfolio buyers out there and would you consider perhaps selling them sooner for maybe a little less to move back, getting them done quicker?
Eric Bolton: Well, I mean, I will certainly say, we have seen a ton of interest. We have got one group that we been talking with that was interested in several of them but, by and large, we have found the best execution to occur sort of selling retail as opposed to looking for a wholesale buyer and we ultimately believe we harvest the best value that way. But high level of interest situation in which we are selling one in Macon, Georgia year. We had a huge level of interest, 20 some odd bids came in with a number of them, nine to 10 of them, at better than what we were expecting. So it's a pretty healthy market out there and we feel comfortable with the volume that we have got. Obviously, we are trying to remain sensitive to thinking about the balance sheet and coverage ratios and of course we were working recycling out of a lot of commercial properties this year as well, which has a fairly dilutive impact. So I think we feel pretty good about the volume that we have gotten teed up this year. We probably will see them sell a little faster than we expected over the course of this year, but we are pretty optimistic with what we have been seeing in the way of interest.
Haendel St. Juste - Morgan Stanley: Following up on that. I don't know if you disclose or if you are willing to, but can you discuss perhaps some of the markets, some of the nature of the assets? Are they more legacy Mid-America, Colonial, the older assets? Can you talk a bit more about any general commentary on the state of the eight assets?
Eric Bolton: They are a mix of both large and secondary markets and they are mix of both legacy MAA and legacy CLP. Frankly, our approach is simply to take those assets that we believe that we are seeing generating the sort of the lowest AFFO operating margin that we have in the portfolio and looking to recycle that capital into more productive investments. It's the same approach we have been taking for the last couple of years. So when we completed our merger with Colonial, we put the entire portfolio together and peeled off the bottom 10 or so that we felt like had the lowest margin growth prospects associated with it. Again, it's AFFO after CapEx and typically what that translates into are obviously older assets. So average age is going to be 20, 25 years old, in some cases even older. As it so happens, a lot of the history, particularly on the legacy MAA side, the way this company was formed grew, a lot of the older assets tend to be in some of the more tertiary markets within the secondary market component of the portfolio. So that just happens to be where we are seeing more disposition activity occur. But on balance, I would say, probably at this point of what we are selling 60% or so of it is coming out of secondary markets and the balance out of the larger markets. It is all older and that's the profile.
Haendel St. Juste - Morgan Stanley: Okay and one more if I may. Can you talk a bit about the multifamily financing environment from the agency's and bank's perspective? There had been some talk of fears that Fannie and Freddie were potentially going to curtail here a bit, but they recently conveyed the desire to be leaders in financing here, in light of the heightened competition from banks, LifeCos, et cetera. Can you talk a bit about that?
Eric Bolton: I would tell you that what we are selling and talking to the buyers, both agencies are pretty active and we are seeing, particularly, Freddie being pretty active and they are -- I know a lot the buyers, again, that we are talking with are talking to both agencies and finding a lot of receptivity to their financing needs.
Haendel St. Juste - Morgan Stanley: I appreciate it. Thank you.
Operator: We will take our next question from Jeff Gaston with KeyBanc Capital. Please go ahead. Jeff Gaston, your line is open. Please check your mute function.
Jeff Gaston - KeyBanc Capital: Good morning, guys.
Eric Bolton: Hi, Jeff.
Jeff Gaston - KeyBanc Capital: I was wondering if you could provide a little detail about the split between the legacy Mid-America portfolio performance versus the Colonial Properties? And also, do you still expect a list from the Colonial Properties in the second half?
Tom Grimes: Yes. A short answer is yes to both. We did see a little stronger revenue performance in the legacy CLP side, primarily driven by improvements in fees and delinquency and reimbursement. So that was relatively quick and we do feel like, as Eric mentioned earlier, there is an opportunity for us as we move into the year to smooth out some of the volatility that occurred around the merger in terms of occupancy and we feel like there is a repricing opportunity going forward.
Jeff Gaston - KeyBanc Capital: Great, and then you saw pretty significant outperformance as far as G&A and the property management expenses in 1Q. Could you give us a sense of what the proper run rate for the year would be?
Al Campbell: Yes this is Al, Jeff. I would say, we had a little favorability in it in the first quarter about $0.01 per share that we talked about, but that was a few items that were bonuses we talked about, health insurance and professional fees were a little lower in the first quarter than we thought. I think the run rate, with the projections for the full year, we took it down about $1 million, if you saw in our guidance and that's about right for full-year. So I think the run rate was pretty close, a little lower than we had started with in our guidance last quarter.
Jeff Gaston - KeyBanc Capital: Could you give us a sense as far as what it might be for G&A versus the property management?
Al Campbell: Really, I don't have that. We typically project that in total in the portfolio. Let me see if I can pull that detail for you. It has got to be pretty close to the run rate that we had in the first quarter in terms of the split. It's a pretty representative split, is what I am saying.
Jeff Gaston - KeyBanc Capital: Okay. All right. That's helpful. That is all my questions. Thanks a lot guys.
Al Campbell: Thanks. Jeff.
Operator: We will take our next question from Michael Salinsky with RBC Capital Markets. Please go ahead.
Michael Salinsky - RBC Capital Markets: Hi. Good morning, guys. First question, just, Eric, the lease numbers, the renewal and new lease numbers you gave, were those lease-over-lease or those year-to-date, I mean, year-over-year?
Eric Bolton: Well, the way we give our numbers, when we talk about new lease rates, that's year-over-year, because it really supports and drives the overall revenue performance. So new lease rates being up in April, 3.1%, that's year-over-year. When we talk about renewals, we are talking about what's the rent increase we gave our existing customer. So it's really more of a lease-over-lease, if you will. So the 7:1 that I quoted for April was the existing customers who stayed with us by paying 7.1% more.
Michael Salinsky - RBC Capital Markets: Okay. Anything on the other income side pushing through this year that we should expect above trend growth?
Eric Bolton: No, not really. Not that I can point to right now. All the other associated fees and so forth are performing pretty much in line with what we expected.
Al Campbell: There are some, obviously, in fees and other things related to the synergies and opportunities we expect in the Colonial portfolio as a part of that.
Eric Bolton: We got that all built it up in our forecast.
Al Campbell: Built in our forecast. Yes.
Michael Salinsky - RBC Capital Markets: Okay. That's helpful. Second question. Al, it looked like you had some good success on the land sale front there. Obviously, one of the components to driving that accretion, you guys have talked about, is eliminating the non-income producing assets. Of the land that sits there today, how much do you expect you can move in 2013 at this point versus how much is going to take a little bit more blocking and tackling in 2015 and 2016?
Al Campbell: Majority of the dispositions this year were from operating commercial, Mike. We focus on that first, as we talked about and we had about $150 million in dispositions in total, about $130 million or so of that is expected to be the commercial, which we did $80 million in the first quarter as you saw. So we expect a little bit more of the remaining of the year. So I think what you will see is us have a lot more focus on those land parcels in 2015 and 2016 as we move forward.
Tom Grimes: I would tell you, Mike, that roughly, call it 35% to 40% of it is multifamily related sites and we think that that will get pushed through reasonably quickly. I would say, likely before the end of the year. Some of the other is a little bit more difficult. It's remaining retail outparcels. There is a single-family component of parcel down in Gulf Shores that's fairly sizable that will probably take a little more time. I think that, well, the lion's share will be gone by the end of this year, I expect but what's left will probably take a couple of years.
Michael Salinsky - RBC Capital Markets: Al, still expecting the bond offering mid-year?
Al Campbell: That's our plan. It will depend on the balance sheet for that, obviously. As you can see, we have about $450 million in debt maturities about midyear. So our plan now is if things go well, assess the public markets and take care of that and good news is, we have seen very good market activity over the last few months. So our expectations for rate have actually improved a little bit since the fourth quarter. So we look forward to that.
Michael Salinsky - RBC Capital Markets: Okay, and finally Eric, you touched upon the acquisition market being a bit more challenging. A lot of competition. Can you just talk about pricing in the primary versus secondary markets and any changes you had seen in the last, call it, 90 days?
Eric Bolton: There has really been a lot of change in the last 90 days. It is still very intense. We are seeing assets of the kind of quality that we are looking to buy, trading 4.5% to 5% in some of the larger markets, and frankly not much higher than that in some of the secondary markets in which we are still buying in, Charleston and San Antonio and Jacksonville and some of these other markets. We are still seeing newer assets very much in the 5% to 5.25% range. So I will put the spread at maybe 25, perhaps as much as 50 basis points, but broadly it's been that way for about the last year. So I think that with the fundamentals continue to remain fairly strong and of course rates being where they are, I think it's going to take a more significant rise in interest rates before you will see any really cap rate movement. The interest is pretty darn high right now.
Michael Salinsky - RBC Capital Markets: That's all from me, guys. Thank you.
Eric Bolton: Thanks, Mike.
Operator: We will take our next question from Buck Horne with Raymond James and Associates. Please go ahead.
Buck Horne - Raymond James and Associates: Hi. Good morning, guys. I know this has been asked a little bit. You kind of danced around it. But I just want to understand the renewal numbers a little bit more clearly because it seems like those are really strong renewal growth targets that you guys are getting. Are you getting more aggressive with the price increases this spring? And how much is this change in the move-outs to buy a home affecting your desire to push pricing this spring?
Tom Grimes: Really the pricing decision on how aggressively push has less to do about what we think is happening in the home buying market and what our exposure and what are fundamentals are, and right now, they are good and we are with our yield management practices just jumping all over that. That's kind of the push point but repeat your question a little bit, I want to make sure I am staying on point. I got distracted by the home buying point.
Buck Horne - Raymond James and Associates: I am just wondering, combining the two data points, to me, is really striking that you saw such a sharp decline year-over-year in the move-outs, and you have got such strong and accelerating renewal notices going out. I am kind of wondering if the two are playing together? Or is there something just more structural about the Colonial portfolio that's allowing you to push pricing a little bit more aggressively? Just understanding.
Tom Grimes: Sure. It's a combination of both. Frankly, we feel pretty good about where the markets are going just in terms of overall supply and demand and where our exposure is at this point. Really, its more of a forward-look that we are making on those pricing that we have quoted, and I think they had a similar system, but with a different approach. In that we see the opportunity to do some repricing, and are taking advantage of that opportunity.
Eric Bolton: And I think, Buck, this is just following on with what Tom is saying. The performance is not really related in our way of looking at it and thinking about it to the reasons for move-out. As Tom mentioned, really, our approach to managing renewals is a function of, obviously looking at what the market is doing, looking at what our exposure is and that gets back to how you define your tolerance levels and how you operate LRO and we have always taken an approach to try to keep a lower level of volatility in terms of our exposure settings and the lower level of volatility as we get in from a lease expiration management perspective. What we think that that enables one to do is ultimately be a little bit more aggressive on pricing. So by taking some of the volatility that we felt like was existing within the former legacy CLP portfolio, we think that that's going to manifest itself in much more stronger pricing performance, particularly as we get into latter part of this year. That's where a lot of the lift comes from. It really has nothing to do with move-out reasons.
Buck Horne - Raymond James and Associates: I understood. Thank you. Secondly, I was wondering if you could drill down a little bit more on the Texas markets, and noting that there has just been such tremendous job growth and demand in Texas, but there is also quite a bit of new supply that is getting underway in most of the major markets but it seems like some of that supply maybe more concentrated in certain submarkets and I want to understand how you view the supply pressure in the Texas areas relative to your portfolio? Are you seeing any signs that supply is going to be more of an impact? Or is it a less of an impact in the Texas markets where you guys are positioned?
Tom Grimes: Sure, Buck, in Dallas and Houston, I think we feel very good about where those markets are and a ton of that construction coming on in Dallas is in the uptown market, which had limited exposure too. On the Austin front, we are really monitoring supply, but with the jobs engine has been able to absorb it pretty well in Austin and we are optimistic about how it's doing and it is 6% new lease growth and 8.6% on the renewals. So we are watching Austin and feel pretty good about Dallas and Houston.
Buck Horne - Raymond James and Associates: Thank you, guys.
Eric Bolton: Thanks, Buck.
Operator: We will take our next question from Tayo Okusanya from Jefferies. Please go ahead.
Tayo Okusanya - Jefferies: First question, just around Colonial and some of the questions that were asked earlier. In regards to the synergies, it does sound like things are moving along pretty well just from the cost perspective. Trying to understand the other pieces in regards to, again, not purchases in bulk, the ability to kind of push Colonial rent a little bit more aggressively versus what Colonial was doing before. How are those parts are kind of coming together, and when would we kind of expect to start to see the benefits of that showing up in the numbers?
Eric Bolton: I was talking to the guidance portion of it. I think what you see is, majority of that's built in the second and third quarter and the fourth quarter, Tayo because in terms of allowing the revenue side, you needed to see the lease come due and there has to be an opportunity there and have time to go through all the contracts. So if you look at the guidance, I think what you will see is, we had anticipated all along accelerated growth in both revenues and NOI in the second, third and in to the fourth quarter.
Tom Grimes: And then those almost the same thing on the expense side, Tayo. We are a business that does most of its volume over the next four months or so and the benefits of the way we have structured the company and the pricing opportunities that we have going and just sort of the efficiencies that we are driving in terms of how we turn units, those will begin to manifest themselves in mid-second and early third quarter.
Tayo Okusanya - Jefferies: Okay, that's helpful. Then just on the transactions that were done during the quarter. I may have missed it, but did you give any cap rate information on the commercial asset sales?
Al Campbell: We did. We can give it. We had 8.25%, 8.5% cap rate range on $80 million that we sold. You have got to understand there was that it was a mall asset and office asset there combined. And that's the combined cap rate. I think to say that the mall is older asset, it was probably higher cap rate, but they averaged.
Tayo Okusanya - Jefferies: Okay, that's helpful. Then the third question. Some of the smaller markets you are in where you only have one or two assets. I know there had been some conversation earlier on about potentially exiting those markets because of lack of synergies. Just kind of curious where that stands? And if we should be expecting some of that, going forward.
Eric Bolton: Tayo, this is Eric. Absolutely. I think, as I alluded to earlier, we are primarily driven by a desire to cycle capital where we believe the after CapEx AFFO margin likely is lower and likely to not be as strong going forward. It just so happens again that that happens to me and some of our more tertiary markets where we also happen to have some efficiency. So we will be exiting some more of markets this year. We exited a number of them last year. We think over the course, in due course, over the next couple of years as we continue this recycling effort targeting on the parameters that I described, a consequence of that will be fewer and fewer of these tertiary markets within the portfolio.
Tayo Okusanya - Jefferies: Have you specifically identified which markets you are going to get out of yet? Or are you still in the process of evaluating that?
Eric Bolton: Well, have identified what we are planning to sell this year, but beyond that we got it but we are not prepared to disclose that now, but you will more of that over the next couple years.
Tayo Okusanya - Jefferies: Great. Thank you. Good quarter.
Eric Bolton: Thanks, Tayo.
Operator: (Operator Instructions). We will take our next question from Dave Bragg with Green Street. Go ahead. Your line is open.
Dave Bragg - Green Street: Thank you. Good morning. Eric, I wanted to follow up on the comments that you made regarding the transaction market and the last three year observations of private market buyer underwriting, are they accepting or underwriting to lower IRRs than they were a couple of years ago? Or generally speaking, are they looking for the recent period of above average NOI growth to continue for the next few years?
Eric Bolton: Dave, it's hard to know for sure. My guess is that the IRR requirements, IRR expectations have moderated a little bit from where they were a couple years ago. I expect that's probably part of it. But where we find just huge levels of interest are some of the older assets where there is presumably an opportunity for some sort of value add or some sort of redevelopment play that that they can dial into their modeling and ultimately cobble together a higher forward-looking NOI performance and ultimately cobble together an IRR to be frankly, whatever it needs to be. So I think that these value add opportunities, these 10, 12 or even older 15, 20 year old assets offer just a lot of opportunity to get pretty creative in terms of how you think about creating value. So I think there is some of that going on, but I do believe that probably IRRs have moderated just a little bit but as I alluded to, we are seeing a huge level of interest and these are all very sophisticated buyers, lot of your institutional capital behind them and great track records of having closed a lot of transactions over the last couple of years.
Dave Bragg - Green Street: Thank you for that. Regarding your revenue growth guidance and perhaps you discussed this last quarter and we missed it, but when we look at the revenue growth guidance range of 3.5% to 4.5%, do you have the same expectations for the MAA and Colonial Portfolios? Or do you have higher expectations for one of the two
Eric Bolton: I will give you the summary. I would talk and give you some details on how, Dave, but I think obviously we have a little higher expectations for Colonial because we need to capture those synergies both in terms of pricing and capture stronger property performance to not repeat the volatility of last year. Some of the things we talked about in occupancy and pricing in the second, third quarter. So we clearly have a stronger expectation for Colonial portfolio.
Tom Grimes: I would echo that but it's an opportunity in price and occupancy in the third quarter, second and third quarter and then we have got further opportunities on both portfolios with fees and new opportunities, ideas that we have either added to the Colonial platform or brought from the Colonial platform to ours.
Dave Bragg - Green Street: Okay. So just roughly speaking, at the midpoint, would it be somewhere around 4.5% for Colonial and 3.5% for MAA? Or is it not that wide?
Eric Bolton: Probably not quite that wide but you are getting close to that range that we are taking. When you look at the overall guidance for the year, if we put out 3.1% in the first quarter and the midpoint is 4%, it is going to take something close to that to get that. So that's pretty close.
Tom Grimes: But the performance differential between the two is quite.
Eric Bolton: It's a 100 basis. I will call it more like 50 to 60 basis points.
Dave Bragg - Green Street: Understood. That's helpful. My last question is just very specific to the new move-in gains. We think about it slightly differently. What was the increase on new move-ins as compared to the tenant that departed?
Tom Grimes: Using Eric's numbers, it was 2.2%, Dave. So 3.1% on a year-over-year basis, 2.2% on a lease-over-lease for April new lease rate.
Dave Bragg - Green Street: Sorry, Tom. I was really looking for the first quarter.
Tom Grimes: Okay. The first quarter, it was 3% on a year-over-year basis and negative 1.1% on a quarter basis, being weaker in January and strengthening through March.
Dave Bragg - Green Street: Okay. Thank you.
Operator: I am showing no further questions. So I will turn the call back over to management for any closing comments.
Eric Bolton: No further comments from us. We will see everyone at NAREIT in a few weeks. Thanks for joining.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may disconnect at this time.